Operator: Good morning, and welcome to the CEMEX Fourth Quarter 2014 Conference Call and Video Webcast. My name is Sylvia, and I'll be happy to assist you. Our host for today are Fernando González, Chief Executive Officer; and Maher Al-Haffar, Executive Vice President of Investor Relations, Communications and Public Affairs. And now, I will turn the conference over to your host, Fernando González. Please proceed.
Fernando Angel González Olivieri: Thank you, operator. Good day to everyone, and thank you for joining us for our Fourth Quarter 2014 Conference Call and Video Webcast. After Maher and I disclose the results of the quarter, we will be happy to take your questions. We are pleased with our fourth quarter results. We had good top line growth with operating EBITDA generation growing by 16% on a like-to-like basis. Fourth quarter EBITDA was the highest since 2008, despite adverse currency fluctuations. EBITDA margin expanded by 1.7 percentage points. Full year operating EBITDA grew for the fourth consecutive year, reaching $2.74 billion. Improvement in volume in most of our regions, better pricing in the U.S. and the Mediterranean region, the favorable operating leverage affect in the U.S. as well as our continuing initiatives to improve our operating efficiency led to this EBITDA growth. Operating EBITDA margin for the year remained flat. We have significant achievements during the year. We generated positive free cash flow during the quarter and full year, achieving a record low level of working capital days. Full year free cash flow generation was the highest since 2010. In addition, we had the lowest SG&A-to-sales ratio in the last 10 years. This is also our third consecutive year of narrowing net loss. Controlling interest net loss for the full year 2014 was 40% lower than in the previous year. On the financing side, last year, we reduced total consolidated debt by close to $1.2 billion. We continue to reduce our financial expenses through the refinancing of $5 billion of our liabilities in the public and syndicated bank loan markets. We also concluded our efforts to address the contingent maturity of our March 2015 subordinated convertible notes. We are pleased with the way our credit continues to rerate. We continue to be vigilant and prepare for windows of opportunity to reduce interest expense and the margin. Earlier this month, we closed the 3 transaction with the Holicm in the Czech Republic, Germany and Spain. As part of this transactions, we paid about $40 million in cash. We expect a recurring improvement in our EBITDA, including synergies of about $20 million to $30 million starting this year. In addition, during the year, we sold non-operating assets for about $250 million. Consolidated cement, ready-mix and aggregates volumes increased by 5%, 3% and 1%, respectively, during the quarter. All of our regions enjoyed higher cement and ready-mix volumes, with the exception of the Mediterranean in cement and North Europe in -- and Asia in ready-mix. For the full year, cement and aggregate volumes increased by 4%, while ready-mix volumes rose 3%. During the year, we achieved record high cement volumes in Columbia, the Philippines and Nicaragua. And record ready-mix volumes in Columbia, Dominican Republic, Guatemala, Israel and Croatia. Both quarterly and full year consolidated prices for cement ready-mix and aggregates in local currency terms are higher on a year-over-year basis. Sequentially, our consolidated local currency prices for cement grew by 1%, mainly driven by increases in the U.S. and the northern Europe region. While consolidated ready-mix and aggregate prices remain flat. The decline in sequential prices in U.S. in dollar terms reflects weaker currencies in some of our markets. We continue with the implementation of our value for volume strategy in all of our regions, focusing our efforts on achieving sustainable higher margins and returns in all of our business lines. We will continue to improve the transparency on the value we provide to our customers through our products and services, by focusing on our surcharges and services fees in each market. Now, I will like to discuss the most important developments in our markets. In Mexico, demand conditions improved during the second half of the year. After a flat performance during the first half of the year, cement volumes increased by 4% during the third quarter and by 6% during the fourth quarter. In the fourth quarter, we saw an acceleration of demand from October through December, with that growing trend continuing into January. During the quarter, we saw continuous strong growth in the formal residential sector, and a slight recovery in the infrastructure and sales construction sectors. For the full year, cement and ready-mix volumes increased by 2% and 3%, respectively. Cement prices as of December 2014 were 7% higher than in December 2013, recovering most of our 2013 price erosion. Now, our prices and results expressed in U.S. dollar terms have been affected by the recent devaluation of the Mexican peso. [indiscernible] to this affect is that on the cost side, about 80% of our costs are producing cement are denominated in local currency. At the end of December, we announced a nationwide 7% price increase on domestic gray cement. We aim to recover our input cost inflation in cement and ready-mix production. Now talking about the different segments. The formal residential sector was the main driver for cement volumes during 2014. High level of housing registries and starts in recent months, should lead to continued growth into 2015, although at a more moderate grade reflecting an adjustment in government subsidies and [indiscernible] credits to the sector. The government recently announced new initiatives to promote homeownership for different groups, including Armed Forces, young and elderly people, single mothers, people with disabilities, migrants and others. These plans if materialized, could bring an additional boost to the sector. Regarding infrastructure, the government announced last week, a 2.6% reduction in this year's budget, as a preventive measure in light of a more challenging macroeconomic scenario. As per the Minister of Finance, the impact on the expected growth in the economy for this year should be marginal. The impact on infrastructure spending should also be limited. In light of this and our current project pipeline, our volumes to the sector should grow in the mid to high single digits driven by increased investment, especially in transportation projects, including highways, rural roads, and airports. The industrial and commercial sectors should be driven by stronger industrial activity, derived from the manufacturing sector and continuous strong commercial projects. After the temporary negative impact of the fiscal reform on self-construction, this sector should return to its low single-digit growth trend this year. Driven by improved consumer confidence, as well as positive job creation and remittances. In light of all this, in Mexico, we expect to achieve annual cement volume growth in the mid-single digits. Our U.S. business expanded steadily during the fourth quarter, despite poor weather conditions in some of our states. On a year-over-year basis, cement volumes rose by 6%, while ready-mix volumes adjusting for the transfer of our ready-mix assets to the joint venture in the Carolinas were up 10%. Aggregates volumes were flat over the year and year-over-year when adjusted for the Fort Lauderdale airport project in Florida in 2013. For the full year, 2014 cement and pro-forma ready-mix volumes grew by 7%, while aggregates volumes rose 1%. Volume growth in the quarter continued to be driven primarily, by the industrial and commercial and residential sectors. The infrastructure sector also contributed positively. Housing permits in our four key states, Texas, Florida, California and Arizona are up 8% year-to-date November, compared with a 3% increase at the national level. Texas and Arizona, show the most dynamicy [ph] during the year driven by the multifamily sector, but California is not far behind with almost 10% permit growth year-to-date. Construction spending for industrial and commercial rose to 16% in 2014. National contract awards for this sector grew by 8% in the same period. Both Florida and Texas continue to outperform the national average of growth in contract of works. The public sector contributed to volume growth during the quarter. Public infrastructure spending is up 3%, while highway and bridge investment rose 4% in 2014, versus the same period last year. Highway and bridge spending has been driven by increased state activity fueled by improved fiscal conditions and ongoing TIFIA projects. Contract awards were down 16% in 2014, while a large part of this decline in contract awards is explained by several large multi-year projects approved in 2013. This weak performance also reflects lack of visibility on the future of the federal highway program. With the Highway Trust Fund expected to face funding shortfall in May, and national elections coming up in 2016, we expect the new Congress will move quickly to provide a new 2-year federal highway program. The search of a new programs, even if early short term in nature would likely support some incremental new growth projects. The value-before-volume initiative continue to deliver during the quarter. On the back of our successful summer full price increases, cement prices rose 3% sequentially. Due to product and geographic mix issues as well as a reversal of some [indiscernible] charges, ready-mix and aggregates prices were flat sequentially. We have implemented cement prices increases of $11 per metric ton in January for Florida, Colorado and the Midwest region. In addition, we have implemented ready-mix price increases in Florida and the Southwest region in the range of $4 to $6 per cubic meter as well as aggregates prices increases in Florida of $0.50 per metric ton. While it is still early, we are confident these increases will gain traction. The U.S. consolidated incremental margin during both the fourth quarter and full year 2014 was approximately 50% on a year-over-year basis. The margin was bolstered by a strong pricing in all products. In our efforts to prepare for higher expected volumes, we did incur incremental cost due to higher transportation and input costs. Even the outlook for the U.S. economy will remain confident of the sustainability of our U.S. volume growth as we begin 2015. We expect mid-single-digit growth in cement and aggregates volume and high-single-digit growth in ready-mix. This guidance factors in the impact of the decline in oil prices on our U.S. business in 2015. The forecast reflects a slightly stronger recovery in the residential sector, a vibrant industrial and commercial sector and a marginal contribution from infrastructure. In our northern Europe region, we ended 2014 with growth in our cement volumes, despite the adjustment in microeconomic expectations during the second half of the year. For the full year, cement volumes grew in Poland, the U.K., Scandinavia and the Czech Republic. Yearly ready-mix volume were up in Poland, the U.K., Austria and Hungary. Quarterly regional cement and ready-mix prices increased by 2% and 1%, respectively, on a sequential basis and in local currency terms. In Germany, we expect the infrastructure and residential sectors to drive demand for our products this year. Infrastructure should benefit from higher tax revenues, translating into incremental spending. Specially in transportation projects as well as an additional boost from public-private partnership projects. Residential activity should continue to benefit from low mortgage interest rates, low unemployment, rising purchasing power and growing immigration into the country, we should more than offset restrictions, such as land availability and regulatory caps on rental increases. In Poland, favorable conditions contributed to growth in volumes during the quarter. In addition, in cement, we continue to gain back our market position, which resulted in better-than-market performance. For 2015, we expect demand growth from all sectors. Infrastructure should be driven by projects including highways, power plants, railways and others. Activity in this sector during the second half of the year should be stronger. The residential sectors should benefit from the growth in permits, increased consumer confidence and the introduction of some programs, which should boost the sector. Growth in the industrial and commercial sectors should come mainly from industrial warehousing and office spaces. In France, our ready-mix and aggregate volumes during the fourth quarter were affected by continued macroeconomic weakness. The only sector expected to show a slight recovery this year is the residential sector. The introduction of the new fiscal package to reactivate the property market, expected for later this year should translate to back ended growth. In the United Kingdom, we ended 2014 with growth in volumes and local currency prices in our 3 core products, resulting into a 70% in EBITDA generation for the country. For this year, the residential sector should continue to contribute to demand growth, driven by low unemployment and inflation as well as higher wages and consumer confidence. In the industrial and commercial sector, higher activity should come from office projects, retail and warehouses. In the Mediterranean ready-mix volume growth during the fourth quarter and full year in all countries in the region, with the exception of cement in Egypt. In this country, we continue to see electricity disruptions during the quarter as well as an increase in cement production capacity, as some competitors have moved to more available energy sources. Sequential cement prices in local currency terms were slightly down during the quarter, but still 19% higher than in the year before, reflecting higher energy prices. This year should be better politically and economically for Egypt. The informal residential sector should continue to be the main driver of cement demand. We also expect continued downward pressure on our volumes, reflecting the increased cement production capacity. In Israel, we ended the year with a 5% increase in ready-mix volumes, reaching historically high levels in the country. In Spain, macroeconomic conditions continue to improve during the quarter. Our domestic gray cement volumes show year-over-year growth for the third consecutive quarter, resulting in a 2% growth for the full year. Considering our ex-productivity, total cement volume increased by 23% during the quarter and by 36% during 2014. In infrastructure, the increase in bidding observed during the last 12 months is starting to translate into activity in the sector. Easing of fiscal austerity measures, reduction in sovereign spreads, and local and general elections later this year should benefit the sector. Housing is also improving. Investment in residential construction show a positive quarter-on-quarter growth during the third quarter of fiscal 2014 for the first time since 2006. Activity in the sector, this year should continue to recover driven by the risk, increasing housing permits and expected improvement in credit conditions. In our South, Central America and the Caribbean region, quarterly cement, ready-mix and aggregate volumes increased by 2%, 7% and 11%, respectively. Full year regional cement and ready-mix volumes were up 5% and 8%, respectively. We are pleased with the positive demand environment during the year, especially in Columbia, the Dominican Republic, Nicaragua and Guatemala. I will give a general overview of that region. For additional information, you can also check CLH full year results, which were reported yesterday. The regional decline in 2014 margins reflect higher maintenance in the region. A scheduled maintenance is done every 12 to 18 months. Maintenance expenses for this year, should be lower in the region. In Columbia, we saw strong levels of construction activity across all sectors during 2014. We ended up surpassing our volume expectations provided at the beginning of the year, achieving double-digit volume growth in our 3 core products, volume records for all our products. Sequential prices for cement in local currency terms remained stable. In January, we implemented, an 8% price increase in our back cement in several markets in Columbia. We also announced, a 5.5% price increases in ready-mix. The government is working on new housing initiatives, which should continue to support the favorable performance of the residential sector. This includes the second phase of the free home program for an additional 100,000 houses, as well as the construction of the 86,000 homes under a subsidy program. The infrastructure sector has also contributed to strong demand conditions. This trend should continue this year, with the continuation of some projects and the initiation of new ones. In addition, some projects under the 4G infrastructure program could start towards the end of this year. In Panama, we continue to see positive performance in our ready-mix and aggregate operations during the quarter. Our daily cement volumes adjusted for the volumes to the canal project declined by 5%, reflecting the conclusion of the Cinta Costera 3 highway project. The residential sector was the main driver for cement demand in Panama during 2014, supported by middle income housing activity. Infrastructure has also been an important driver for our products, supported by ongoing projects like 100-megawatt wind farm being built in the central region of the country as well as the second line of the subway which should start construction in the short term. In general, we continue to expect strong demand levels from these sectors over the medium term. In Asia, cement volumes increased by 21% during the quarter and by 9% for the full year 2014. In the Philippines, we saw double-digit growth in cement volumes during both the quarter and full year of 2014, driven by continued strong demand from public and private spending. The introduction of the new 1.5 million ton cement grinding capacity, which started operations at the end of the second quarter contributed to this growth. The positive volume trends in the Philippines should continue this year. The residential sector should continue to be supported by incremental remittances, stable inflation and low mortgage rates, as well as by higher housing demand from foreigners. Continue growth in the industrial and the commercial sector should come from expansions in different industries, including manufacturing, automotive, business process outsourcing, gaming and hospitality among others. In summary, we are pleased with the growth in volumes and local currency prices in most of our regions, reflecting the continued positive outcome of our value-before-volume strategy. In addition, we continue to see the favorable operating leverage affecting the United States. And now, I will turn the call over to Maher to discuss our financials. Maher?
Maher Al-Haffar: Thank you, Fernando. Hello, everyone. Net sales on a like-to-like basis increased by 5% for the quarter and by 6% for the full year 2014. Operating EBITDA increased by 16%, with a margin expansion of 1.7 percentage points. It was higher EBITDA contribution from Mexico, the U.S., Northern Europe and Asia. For the full year, operating EBITDA on a like-to-like basis increased by 6%, with flat EBITDA margin. As you know, during 2014 currencies in some countries in which we operate depreciated last year versus the U.S. dollar. These currency fluctuations had a negative impact during the year of about $250 million on our sales and of close to $80 million in our EBITDA. Typically, currency devaluations translate into input cost inflations, which tends to put upward pressure on prices with some lag affect. In addition, in several countries in our portfolio like Mexico and Colombia, about 80% of the cost base is in local currency, which partially mitigates the negative effect of the devaluation. Cost of sales as a percentage of net sales decreased by 2 percentage points during the quarter, mainly driven by our continuous improvement, operating efficiencies and product mix. Operating expenses also as a percentage of net sales declined by 0.3 percentage points as efficiencies were partially offset by higher distribution expenses. Our kiln fuel and electricity bill on a per ton of cement produced basis, increased by 1% during the fourth quarter and was flat for the full year 2014. During the quarter, our free cash flow after maintenance CapEx was $421 million compared with $216 million in the same period in 2013. During the quarter, we had higher EBITDA, lower financial expenses, a higher reversal in working capital as well as lower maintenance CapEx and other expenses. Due to the seasonality of our business and our continued efforts to lower investment in working capital, we recovered most of the year-to-date investment in working capital as of September, during the fourth quarter. For 2014, working capital declined to 26 days, a new record from 28 days in 2013. Other expenses net during the quarter for $306 million were mainly due to impairment of assets, a loss in sale of fixed assets and severance payments. We had a foreign exchange gain of $152 million, resulting primarily from the fluctuation of the Mexican peso versus the U.S. dollar. We also recognized a loss on financial instruments of $182 million related mainly to CEMEX shares. During the quarter, we had a controlling interest net loss of $178 million compared with a loss of $255 million in the same quarter of 2013. This is primarily due to higher operating earnings before other expenses, higher foreign-exchange gains, and lower income tax, mitigated by higher other expenses and a loss on financial instruments. Full year controlling interest -- net loss was 40% narrower than in 2013. We continue with our initiatives to improve our debt maturity profile and strengthen our capital structure. During the quarter, we obtained $1.87 billion under a new syndicated loan facility with improved terms, when compared with the existing facilities agreement. Enhancements of that facility include longer-term, lower interest rate, with grid pricing tied to our leverage ratio, a revolving credit tranche and improvements in certain conditions that provide more flexibility to CEMEX. We also obtained the required consent to amend the facilities agreement, so the covenants and undertakings under the facility are conformed to those with the syndicated bank loan facility. Total debt, plus perpetual securities, decreased by $658 million during the quarter, and by close to $1.2 billion during the year. The quarterly decline in debt reflects a noncash positive conversion effect of $91 million. During the quarter, we also unwound the 0 strike call options initially related to the 2015 convertible notes, resulting in an inflow of $105 million. Free cash flow during the quarter, plus the reduction in cash balance and the proceeds from the unwinding of the call options were mainly used to pay down debt. Pro forma average life of debt is currently at 4.9 years. Our next significant maturity is the floating-rate bond, which matures in September of 2015. Liability management exercises during 2014 include the new syndicated loan facility at its current interest rate are expected to represent annual cash interest savings of approximately $120 million. We continue to be comfortable with our liquidity position, with cash and cash equivalents reaching $850 million as of the end of the quarter. Furthermore, we maintain over $2 billion of working capital and receivables financing facilities, which further bolster our liquidity position. We continue with our liability management initiatives to lower our interest expense, lengthen the average life of our debt and reduce refinancing risk. Now Fernando will discuss our outlook for the year. Fernando?
Fernando Angel González Olivieri: For 2015, we expect our consolidated cement and ready-mix to grow in the mid-single digits, while aggregate volumes should grow in the low- to mid-single digits. Regarding our cost of energy, on a per ton of cement produced basis, we expect no major changes from last year's levels. Guidance for total CapEx for 2015 is about $800 million. This includes, $500 million in maintenance CapEx and $300 million in strategic CapEx. The increase in strategic CapEx guidance reflects the ongoing expansion projects announced last year. Regarding working capital, we anticipate the working capital investment during this year to be about $150 million. We expect cash taxes for 2015 to reach about $650 million, reflecting mainly the increase in this year's scheduled payment related to the change in fiscal consolidation regime in Mexico. As a result of our liability management initiatives, we anticipate a reduction in financial expenses for this year of about $100 million. In closing, one of our most important priorities, is to recover our investment grade capital structure. As we have demonstrated, we have been recovering. However, in light of the recent volatility in the financial markets, we have decided to embark on a 2015 program to further bolster our road to investment grade. The most important components of this program are: First, $300 million, which include cost and expense reduction as well as free cash flow initiatives, such as the reduction in financial expenses from the liability management done last year and others. In addition, we still have more than $3 billion of notes with coupons higher than 9%. Second, as part of our ongoing efforts to optimize our portfolio, we expect to sell assets for $1 billion to $1.5 billion in the next 12 to 18 months. And third, we are targeting to pay at least $500 million of debt this year. Thank you for your attention. Now, I will turn the call back to Maher.
Maher Al-Haffar: Well, thank you, Fernando. Before we go into our Q&A session, I would like to remind you that any forward-looking statements we make today are based on our current knowledge of the markets in which we operate and of course, could change in the future due to a variety of factors beyond our control. In addition, unless the context indicates otherwise, all references to pricing initiatives, price increases or decreases refer to our prices for our products. And now we will be happy to take your questions. Operator?
Operator: [Operator Instructions] And our first question comes from Carlos Peyrelongue from Merrill Lynch.
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Two questions, if I may. First one related to the U.S, you mentioned, that you expect mid-single volume growth. Can you comment on what's your expectation on Texas. I understand that there was a proposition one approved last year, that should funnel quite a bit of money to the Highway Fund. So I would be interesting to have some guidance on what you expect for Texas, overall. And the second, as you mentioned, the FX moments in some of the key markets you operate have had consequences on your consolidated EBITDA in dollar terms. Can you comment, if the FX remains, where they are today, what do you expect the impact in dollar terms to be on their consolidated EBITDA?
Maher Al-Haffar: Okay, Carlos. Let me just take a stab at the Texas question. I think in order to address the Texas question, it's important to step back for a second and take a look at the market segments. Roughly, half of the business in Texas is infrastructure. And 2/3 of that is the highway, streets and highway construction activity. Residential is about a 1/4 and industrial and commercial is about the other 1/4. You are very right to point out the Proposition 1, there is a -- an oil stabilization fund, that is -- that has about $8.5 billion in it. And for the first time, there was a vote last November in Texas under the Proposition 1, which allocated, I believe close to about a billion dollars from the stabilization fund directly to the Highway Trust Fund of the state. Now that is a big number, I mean, that represents, if all of that money is spent in 2015, which is -- that's what it was allocated for. That would translate to about a 10% growth in volumes, going to that sector. So that's one thing, which is extremely important that is expected. And if you note that, if you take a look at the -- projects that are being given out under TIFIA, a number of them actually are in the state of Texas as well. So infrastructure should be doing reasonably well. Now, residential, we believe coming into this slowdown, residential has had a deficit. In fact, in the state of Texas. And the demographics in the state of Texas have been extremely positive. The level of immigration last year into Texas was probably the highest in the nation. We have had almost 450,000 people coming into the state of Texas, resulting very positive demographics and very high employment. It was probably the highest employer in the state with about 450,000 to 470,000 jobs. So we expect the housing market to be pretty good this year. Now, of course, the West Texas market, which is probably the most volatile market and which is relatively speaking is fairly small from a construction activity is likely to be suffering from the oil situation. In industrial and commercial, we also expect -- I mean, there's a pent-up demand for schools, for retail, for warehousing, for storage and logistics. So we expect that definitely to drive demand. One of the most important things to keep in mind in the state of Texas is that for years, because the state of Texas has not gone through a major economic downturn, is that state actually brought in cement from outside of the state, because capacity is fully utilized or substantially fully utilized. And roughly 10% to 15% of the cement that is consumed in the state is brought in from outside the state. And at the margin, the profitability of those tons are fairly low. So bottom line, we are obviously, we're cautious on the volume outlook in Texas, but in terms of the affect that it has on our business, it should not -- it should be fairly limited. On the other hand, we believe nationwide and in Texas in particular, transportation cost should be positively impacted from the lower cost of fuel. And that should play in our favor, frankly. I don't know, if that's sufficient of an answer.
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Very comprehensive. And with regards to the FX question?
Fernando Angel González Olivieri: Regarding, I understand your question is related to 2015?
Carlos Peyrelongue - BofA Merrill Lynch, Research Division: Yes.
Fernando Angel González Olivieri: There will definitely be an impact, we're just comparing current effects to what we used to have last year. But the impact will depend on your assumptions. And what we have decided, Carlos, is to prepare ourselves for the risk of losing some of our EBITDA to FX reasons. And that's why, we defined this special program, the set of actions, that would help us to properly manage the risk of our EBITDA and in general, our financial results are impacted by FX. As I mentioned, we are prepared to manage or to increase $300 million of free cash flow and to give some additional information, I think it's out of the $300 million, about $100 million will be -- will have an EBITDA impact, meaning it will be related to our value for volume strategy, plus additional costs and expenses costs. And then, the other $100 million will be mostly related to continue reducing our interest expense and the last $100 million is mainly related to additional gain sort of optimization of our working capital, which as we mentioned, this last year, we set a new record of 26 days, and we are expecting this year to finish at the lower figure. So it will have a negative impact, it's very challenging to calculate, it depends on FX assumptions for the year. And with the higher volatility at the end, what we said, we better focus on what we control. And let’s do some risk management on this side and that's what we are preparing ourselves to do.
Operator: And the next question comes from Vanessa Quiroga from Crédit Suisse.
Vanessa Quiroga - Crédit Suisse AG, Research Division: My question -- first question is regarding the price implementation. Just to confirm first, in the U.S., you in January, you announced price increases in Florida, Colorado and the Midwest for $11 per ton. Is that correct?
Fernando Angel González Olivieri: Yes.
Maher Al-Haffar: Yes.
Vanessa Quiroga - Crédit Suisse AG, Research Division: Okay. And just to understand about our fuels, the benefit from lower fuel cost and the surcharge, that -- I mean for fuel that is included in your pricing. How much of that surcharge had been already reflected to clients, and so how much impact should we expect from the lower fuel prices now. And If you could explain that, please.
Maher Al-Haffar: Vanessa, just to clarify, you are talking about specially the U.S.?
Vanessa Quiroga - Crédit Suisse AG, Research Division: Yes.
Maher Al-Haffar: Yes. I mean, we haven't broken it -- we have not broken it out. But we expect, I mean, we did obviously, have to reverse some of the fuel surcharges as a consequence of diesel prices coming down. But by and large, we will be experiencing a fairly material savings on the costs side in the U.S., as a result of lower diesel and other transportation fuels. But we have not broken out specifically, how much our -- how much of the fuel transportation surcharges have been actually implemented or passed on to our clients.
Vanessa Quiroga - Crédit Suisse AG, Research Division: Okay. No but that is enough clarification. And regarding the asset sales that you mentioned. What kind of assets, do you plan to sell?
Fernando Angel González Olivieri: Well, as you can imagine, it's very difficult to give additional information on asset sales. But what I can tell you is that, we have options. As you know, in average, we have been divesting between $200 million to $300 million of nonproductive assets, meaning assets we no longer need to operate our business. We think, we will repeat and we are almost finishing an exercise on making that deeper review on all those assets and see if we can increase that amount a little bit for 2015. But the largest part will be done divestments. Now on divestments, we might divest the business itself. And candidates are related to, let's say, noncore activities. And we also have the option, scheme similar to the one we did in a couple of years ago, in CLH. So that's still an option, even either in CLH or in Northern assets. So that's, as far as we can disclose on this program of divesting $1 billion to $1.5 billion of assets. Reminding you that it will be in the next, let's say, 12 to 18 months.
Vanessa Quiroga - Crédit Suisse AG, Research Division: Okay, great. And finally, on working capital. For that $100 million working capital optimization, that you are expecting to achieve. Is that, would that be a consequence of what you have already achieved through 4Q, which was an impressive improvement in the cycle? Or is there additional efforts that you can do.
Fernando Angel González Olivieri: I feel so confident on continue to set the new records on working capital, because we have been working on optimizing it in all its elements, a better collection, reducing risk of collection, better inventory management, everything. And we have achieved very low levels of working capital in most of our businesses. And we still have 2 or 3 businesses in which I think, we can materially improve and optimize our working capital. So just advancing in our initiative, which has been not a new one -- of improving it. And I don't have in my memory, the numbers for the last, whatever number of years, 3, 4, 5 years. But every year, we have been setting a new record on working capital. So last year was 26, that means, we should expect the lower figure 1, 2 days lower in 2015. But it's because of the -- of an initiative that is going on, that's been implemented, that has been successful. And that we still think, we have an upside on that side for 2 or 3 material countries.
Operator: And the next question comes from Ben Theurer from Barclays.
Benjamin M. Theurer - Barclays Capital, Research Division: Let’s switch a little bit gear and go over to the other side of the Atlantic. A couple of questions. Could you give a little bit of a guidance, now having closed the deal with Holcim. How this is -- how do you expect this is going to expect -- what you're going to report in the different regions i.e. Northern Europe and Mediterranean, because clearly, there is more gear shift now into the Mediterranean region, with Spain becoming more important due to the consolidation of the assets of Holcim, you acquired. But at the same time, you may have a little less in the Northern European parts through the assets with Germany, Czech Republic, et cetera. So that's one part. And then, Second, down to the Mediterranean, on Egypt, specific, obviously, we have a little weakness here during the quarter and you gave some explanation that basically electricity shortages, but also the supply. But if you could give a little bit of an outlook, what you're seeing for the market here demand in the different segments. And obviously, that electricity issue and the overall demand situation in Egypt, with still some noise going on there, are those 2 questions on my side?
Fernando Angel González Olivieri: Okay, regarding the integration of businesses or the Wellington transaction. As we mentioned, we think -- we will have additional EBITDA of $20 million to $30 million during the year. We are not breaking the numbers, and we are just integrating the businesses as we speak. We started early last month. And during the year, unless we have much more information, we will be giving some indication, but so far, we are not breaking that numbers.
Benjamin M. Theurer - Barclays Capital, Research Division: Okay. So Just to understand the $10 million, $20 million to $30 million additional EBITDA is basically a LIBOR system, today in Northern Europe and Mediterranean, just through a synergy -- that's bigger. Everything else equal, will be round about $20 million, $30 million more was obviously, different segment, correct?
Fernando Angel González Olivieri: Yes, correct.
Operator: And the next question comes from Marimar Torreblanca from UBS.
Fernando Angel González Olivieri: It was the Egypt one, I think.
Maher Al-Haffar: Operator, maybe before we go to the next question, I think we still had a portion of the question pending, would you like to provide? Ben, also on Egypt, you mentioned on the outlook, I mean, we're expecting both the political and economic situation in Egypt actually to get better. This year, we think residential will continue to be doing reasonably well, population growth, urbanization rates will continue to improve. The political stability, frankly, should translate to better drivers, especially for low and middle-income consumers and buyers of our business. On the industrial and commercial side, we've started seeing momentum again, on back of this increased stability, we've seen a pickup in demand from that segment. In infrastructure, we are also seeing a pick up there. When you take a look at our guidance, which is showing a drop in volumes. It's really more reflective of, what we're expecting to happen in the market, as we -- as the other producers in the market switch to more available fuels. And as energy situation gets better, we expect those producers to play a bigger role in the market, and as a consequence, we're seeing a little bit of a drop in our volumes, but by and large, we have a relatively positive outlook for the market. So I hope that answers your question, Ben.
Operator: And our next question comes from Marimar Torreblanca from UBS.
Marimar Torreblanca - UBS Investment Bank, Research Division: I have 2 quick questions. The first one on Mexico, how fast do you think that EBITDA margins can recover, or go back to the levels that we used to see in Mexico before. Considering both the price increases that you announced and the cost environment that you described. And then, the second one, going back to the U.S., if you could discuss the premium you have on the product, that you sell to the energy industry. So like, oil-related cement, how much higher margins you get from that. And if that demand suffers, what do you think will be the margins -- the impact on your margins for the overall U.S. operations?
Fernando Angel González Olivieri: Turning to the first question. I don't have a direct answer on the margins, but I think, what we can comment is that, we are on the way to recovery. Not just in Mexico, but in CEMEX as you whole. As you saw in the last quarter and that will continue happening. We have been since 2000 and when was that? '12, I think, '11, or '12. We started recovering our EBITDA and our margins have been slightly improving. So that will continue happening, and we should move to current levels to the levels, we used to have 20-something, 21%, 22%. But hard to say is, when is it going to happen. But, it will happen. Now particularly in Mexico, as you know, the thing in Mexico is that, in 2013, we lost like some volumes and some prices. And '14, first half was kind of stable. Third quarter, we already mentioned, volume is growing, fourth quarter growing even faster and generated this year even better than the last quarter. And prices last year, we managed to increase prices by about 7%, which is not recovering the previous level before the erosion in 2013. But again, we already mentioned, we have increased prices in January and there seems to be seeking. So the good news is that, we are gaining traction, and we are little by little gaining back our margins.
Maher Al-Haffar: And, Marimar, could you just repeat the question on the U.S., I would appreciate it.
Marimar Torreblanca - UBS Investment Bank, Research Division: Yes, of course, in the US, you have a portion of your volumes that goes to oil wells. And I understand that, this product has a higher-margin, and higher price. So I was wondering, if you lower that portion of your sales. Or you start to sell the product-mix changes, what the impact could be on margins, how big is that premium in other words?
Fernando Angel González Olivieri: Right, well, first, I think, it's very important to note. I mean, last year, meaning 2014, we sold just a little bit over 12 million tons of cement in the U.S. But if I recall correctly, about 12.1 million or so. And total oil well cement production and sales for us in the whole U.S. is around 700,000 or 800,000 tons. Most of that is in Texas, some of it up -- is up in Pennsylvania and Ohio as well. So and yes, you're right, I mean, the margin on that product is higher. The cost is roughly the same as our other products. So the margin is probably, I mean, we don't breakout by product, but it's fairly high, obviously. Now clearly, if we lose some of that, you need to kind of ask the question, where are we losing that? The area, that is probably most exposed to drop in those volumes is probably Texas. And in Texas, as I mentioned earlier, there is an importance of cement, that is brought from neighboring states. For instance, we bring quite well cement from Colorado to Panhandle and to West Texas. That cement is -- it's impact on margin is fairly limited, frankly, because of transportation costs and because of production costs. So at the end of the day, the impact on margin should be rather limited at the end of -- once we take a look at that. And then, again let's not forget, as the other thing that I mentioned is that we are going to be benefiting in an important way on transportation costs from a countrywide basis.
Operator: Our next question comes from Gordon Lee from BTG.
Gordon Lee - Banco BTG Pactual S.A., Research Division: Just 2 quick questions. The first, just a follow-up on the asset divestments and the guidance. I'm just going to see, how much one depends upon the other. But specifically, you say you plan to sell $1 billion to $1.5 billion U.S. over the next 12 to 18 months. And that you expect to retire $500 million worth of debt in the 12 months -- in the next 12 months. Are those connected, and my question obviously is, if you sell $1 billion to $1.5 billion significant in excess of $500 million. But your CapEx plans wouldn't seem to suggest that you need that amount of cash. Is that $500 million on a conservative assumption of the asset sales? Or is it some -- there is something else in the middle that we're missing. And then the second point, on the liability management. Could you repeat, what in the next 12 months, say, what of your outstanding trading debt is callable. And so what the opportunities are for refinancing of that type [ph] in the next 12 months.
Fernando Angel González Olivieri: Okay. On the first question Gordon, maybe what is conservative is the amount of debt that we will pay. But that's why we said, that we were going to reduce debt at least by. So it might be higher than $500 million. And then, let's say, if we manage to divest $1.5 billions, we don't know, is going to be during the year or '15 and '16, that's why, we said that the divestments will happen during, mainly this year and some of them might happen next year. So we cannot make the subtraction of $1.5 billion minus the $500 million directly. Now the other thing is that, as we mentioned, we have $300 million of strategic investments that we need to fund. And if again, if we manage to divest, the high side of the divestments, meaning the $1.5 billion. We might use part of the proceeds to do additional strategic investments, particularly in the aggregate reserves, for instance. So it's not a -- you cannot direct -- directly subtract the numbers, at least not for 2015. But that's the objective, $1 billion to $1.5 billion that is at least $500 million, I mean, at least $500 million, so it might be higher than that. It will depend on how fast or how successful we are in the divestments. And if we have the flexibility, we might use part of those proceeds to other investments like the one -- like the ones I have already mentioned.
Maher Al-Haffar: Yes. And, Gordon, on the callability of our notes. Most of our notes, if not all of them have fairly typical high-yield call features, which start at kind of half coupon and then kind of fade away, as time goes by. And several of our notes, I mean, we'd be more than happy after the call to send you a schedule of the calls by note. But we have roughly about $1.6 billion equivalent, I mean, because some of it is in euros that is callable in 2015. The biggest component that is callable is the FRN, which is due in September, that's callable in June at par. And then, there is -- we could send you the details frankly, note by note on the call schedule for each of our notes. But, yes, the -- I think the -- perhaps the point that you're aiming at is, do we have an opportunity to further reduce our interest expense at a relatively manageable cost through calls, through that are available to us contractually and the answer is, yes. I don't know if that addresses your question, Gordon.
Gordon Lee - Banco BTG Pactual S.A., Research Division: And that was probably a much better way of putting it than I did. Just one final follow-up, just on the guidance as well. You mentioned that you expect your energy cost per ton to more or less be flat, which given the decline in energy prices would seem, either conservative or maybe there is a reflection of stickiness of contracts that you may have. Could you comment on what assumptions, you're making, that will result to an expectation of flat energy cost on the production side.
Fernando Angel González Olivieri: Sure, I think regarding fuels on the production side, as you know, most of our fuels are either coal or pet coke or energy fuels, which account for close to 30%. And none of those fuels have a direct correlation with oil. Pet coke is tied to coal and coal in certain cases, it has certain correlation to oil. So if there is a risk to our assumption, it might be on the side of certain costs being slightly lower than what you're assuming today. But it might be conservative, but the thing is that, we have to take into consideration that we have -- in some cases, or in most of the cases, mid-term contracts on prices on this fuels. And also, we have inventories of either coal or pet coke, or alternative fuels. So even if prices start being impacted, there will be a sort of a delay, a 3- to 6-month delay on seeing those prices really affecting our cost on fuels. On the other side, fuels for transportation, I think, we have a mix effect on fuels for transportation. We have markets in which fuels have been going down materially, like the U.S. and Europe. And we have markets in which diesel and gasoline just don't change that fast and that's for instance as an example, we can mention Mexico, in which it's not going down, it's going up, it went up by I think, 1.9% or so in last January. So there will be an impact on transportation on the side of transportation related to customers, we don't expect an impact because that's translated to customers, so it would be adjusted. So the impact is only for the internal transportation or transportation we have for our raw materials and products or -- that's why, we are not -- it will improve slightly, but we are not counting with a material amount. We will be, as you can imagine, being energy such an important factor for us, we will be monitoring how the prices of our fuels behave and we will be updating you, accordingly.
Operator: And our next question comes from Jacob Steinfeld from JP Morgan.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: I just had a quick follow-up on one the prior question. So the $500 million in debt reduction you plan for this year. Do you expect to reduce any of that from free cash flow this year. Or is it basically tied to some percentage of the asset sales that you expect over the next 18 months.
Fernando Angel González Olivieri: We can use part of our free cash flow this year. Yes, we can do that. We did it last quarter to some extent. So we will do it again. But most of the funds will come from asset divestments. But again, part will be because of our free cash flow generation.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: Okay, I think could you please explain a little bit more of the higher distribution expenses, you referred to in your presentation?
Maher Al-Haffar: Higher distribution expenses, I mean...
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: Is one of the reasons on the margin -- the [indiscernible] for the reduction in margins?
Maher Al-Haffar: Yes, I mean, in some of our markets, that may be the case, because our products are traveling longer distances. That's probably it. And of course, in some places like the U.S., for example, there has been definitely quite a -- an important pressure on drivers. There's been definitely driver inflation. But I think in general, when we talked about SG&A. SG&A is as a percentage of sales is probably the lowest, that we've seen in, I don't know, for a very, very long time. So it's very market specific and its mostly markets that are very tight in supply and where we're having to move the product longer distances. And in the case of the U.S., I think, we definitely have a slightly higher cost in terms of driver costs, but that's about it.
Jacob A. Steinfeld - JP Morgan Chase & Co, Research Division: Okay, great. And lastly, I just want to understand a little bit better, the demand for formal housing in Mexico, you mentioned that was one of the key drivers. So I was trying to understand a little bit the more dynamics in a market given, some of the larger players have happened sort of out of the market. So if you could talk a little more about that, I would appreciate it.
Fernando Angel González Olivieri: I think, last year, to some extent, it was -- at least to us it was a nice surprise, if you remember, at this point in time last year, we were all concerned about formal housing. Specifically, the -- all the adjustment changes and implications for large construction companies. And at the end, it ended up growing above 13% or so, having a weight of close to 20% of total demand. Housing starts did accelerate and were up 60% for the year. And as we mentioned, it will continue growing, of course, at a lower space, but it will be -- continue being a positive. There was another feature that supported the growth in 2014 for a formal housing, which was subsidies, that were up between 40% and 45% during the year. So again, it was not the -- our expectation at this time of the year, last year. But that's the way it evolved. And now, we know that it will continue, probably, positively for this year, 2015.
Operator: And the next question comes from Yassine Touahri from Exane.
Yassine Touahri - Exane BNP Paribas, Research Division: A couple of question, you discussed about oil wells that runs into U.S. Do you have any oil wells cement sales elsewhere in Mexico, Columbia or Egypt, that will be very helpful, if you could give us an indication of your exposure. And then, on the U.S., you mentioned some price increases. I'm not sure, I've got all of them. Have you announced price increases in Texas, California and Arizona. And then, the last question, on your target to improve EBITDA by $100 million through savings. How much of this $100 million is related to cost predictions and how much is related to your strategy of prices versus volumes?
Fernando Angel González Olivieri: On the last one, on the $100 million, we are not breaking the figure, but we think most of it or the most important part will come from costs and expenses. And that is a part related to the $100 million, that will impact EBITDA. And as I mentioned, the other $200 million are related to lower interest expense and continue optimizing our working capital. Regarding oil well, I may not have the specific numbers for the rest of the countries in which we produce oil well cement. But what I can tell you is that -- it's not that material, it's not that relevant, but if needed, we can, I suppose, provide additional information on our volumes in -- for instance, in Mexico.
Maher Al-Haffar: And on the -- Yassine, on the pricing in the U.S., maybe just by way of summary -- summarizing, we have 2 pricing, 2 ways, I would say, of pricing increases, we have the winter/spring pricing increase and then, we have the summer/fall pricing increase depending on the conditions of our markets. We have already announced, the pricing increases for the U.S. And in January, as you know, we had a pricing increase that was announced for Colorado, Florida and pretty much, most of our Atlantic markets. Those are the markets that have shown the most interesting supply demand dynamics. The pricing increases were somewhere between $11 and a little bit over $17 per cubic meter. We've had very good response on those pricing increases in terms of traction in those markets. And then their price increases that have been announced in spring for Texas and California.
Yassine Touahri - Exane BNP Paribas, Research Division: Are those [indiscernible] of the price increases announced for spring.
Maher Al-Haffar: It's just a little a bit less than that. It's about little bit under $17 for California and Texas.
Yassine Touahri - Exane BNP Paribas, Research Division: And last year, how much of your price increase as such is 1/2, 2/3, or depend by region.
Maher Al-Haffar: Last year, we probably had on average, I mean, we have actually quite a substantial percentage of the increases did go through at the end of the day. And if we take a look at pricing last year, at the end of the day, we were up about close to about -- just one second, I'm trying to take a look at the prices here. We're up about 8% -- sorry, 6% for the year.
Yassine Touahri - Exane BNP Paribas, Research Division: And on the price increases, that you're announcing in 2015 are higher than the one that you announced at the begin of 2014, is that correct?
Maher Al-Haffar: Yes, I mean, the one think that you have to consider is that the market is -- the capacity utilization in the market is continuing to edge upwards. And we continue to see very positive demand dynamics in most of our markets. And so we think, that plus our value before volume efforts and worldwide, but in the U.S. as well, we think should translate to good improvement in terms of our pricing dynamics.
Fernando Angel González Olivieri: I think we should add a piece of information regarding prices in the U.S. Don't forget that the U.S. used to before the crisis 2008, it used to be a structural in quarter. So we're getting close, and in some markets, we are already there. So very high capacity utilizations, the U.S., the figure I remember is that U.S. used to import like 20 million, 25 million tons of cement per year. So it won't take too much for the pricing dynamic too much on volume, I'm referring. For the pricing dynamic to improve even further than what it has already improved. As Maher mentioned, for instance, in the case of Texas, we are sold out, and we are importing to the state, cement from other parts of the U.S. So that's the context in which we think the pricing dynamics will continue evolving, and we are quite confident that it will continue evolving as positive as it has happened and even better.
Maher Al-Haffar: Thanks, Yassine. We addressed all of the points, Yassine?
Yassine Touahri - Exane BNP Paribas, Research Division: Yes, you did.
Operator: And the next question comes from Lillian Starke from Morgan Stanley.
Lillian Starke - Morgan Stanley, Research Division: My question is -- most of them have been answered. But I have a question on your guidance for spring. You highlight on the cement market and important increase in volumes. However, you're expecting a significant decline in the ready-mix and aggregates. Just wanted to understand what sort of the rationale behind this? Or what were the dynamics for ready-mix and aggregates?
Maher Al-Haffar: Sure. It's fairly simple, I mean, part of our value before volume or I should say, value and volume strategy. We are looking at rationalizing some of our portfolio in that business to the most profitable or the areas that we feel, that we're adding most value to our customers. And so there are certain areas that we feel, we're not adding as much value and therefore, we are deemphasizing that part of our business. And that's where the disparity comes in. But that's about it. It's really part of rationalizing our business.
Operator: We have time for one more question. Anne Milne from Bank of America.
Anne Milne - BofA Merrill Lynch, Research Division: Two question this morning. One has been largely answered. But I do want to go back to the question of the high coupon bonds and the call options that you have. So it does looks like that you've been -- like you've been paying as per the note on your debt profile in your presentation, sort of smaller incremental pieces of some of the bonds that are callable, you talked about $227 million of the 2018 bond the 9%. And I know there is still a balance of that left, I think, $455 million. So the first question would be, if you could, given the capital markets would you repay or call all of the high coupon bonds this year and replace with lower coupon securities if that were an option. And it seems like there is -- at least 3, if not 4 or 5 that might be outstanding small amounts on some of them. And then, the second question is on Mexico, I know it was, at least a stabilization year for 2014. Maybe you could update us on some excess market share in Mexico and what the competitive environment looks like at the moment.
Fernando Angel González Olivieri: Do you want to take the one on that?
Maher Al-Haffar: Yes, sure. And I mean, we're -- obviously, we -- when we're looking at liability management, we're looking at a combination of things. I mean, obviously, we like to call at call dates, that's the most efficient process. But also, certainly, if we have on a net present value basis calculation, it makes sense because the opportunity is there then certainly, we will do that. Obviously, we're biased towards bonds that have the highest coupons. We're also, looking at extending maturities as much as possible and removing refinancing risk. So the answer to your question, I mean, there is no -- there isn't a "one kind of size fits all." I mean, we're looking at a portfolio approach. We're constantly looking at opportunities. As you can imagine, we have many banks, that are leaders in the capital markets and they are constantly coming to us with proposals. And we will execute -- in the order and whichever make sense in terms of adding value on a net present value basis to the company.
Fernando Angel González Olivieri: Which is basically, what we have been doing.
Maher Al-Haffar: Exactly, Yes, yes.
Fernando Angel González Olivieri: In the last few years. So it would be. It is consistent you with our objective of reducing our interest expense. Regarding Mexico, again, 2013, well, the adjustments in Mexico really started in the second half of 2012, it did materialize in 2013. Again, first half of '14 stable, third quarter growing 4%, fourth quarter 6%. January, which is just 1-month, but it's even higher than the 6%. So we think that all segments of all sectors are increasing formal housing, infrastructure, informal activity and commercial, industrial everything keeps contributing in the last quarter and January of this year. Regarding market share. Market share, we are always between 40% to 45%. We don't have any specific figure until, I mean, for foreign [ph] figure until we get information, the public information we need in order to make calculations. But you should consider that we should be in that range.
Operator: And now, I will turn over to your host Fernando González for closing remarks.
Fernando Angel González Olivieri: Well, thanks for your participation. And as you know, more than welcome to call us or to contact us any time for any other further question. Thank you very much. And bye now.